Operator: Good morning and welcome to the Sterling Bancorp Third Quarter Fiscal 2014 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions). Thank you. I’ll now turn the call over to Jack Kopnisky, Chief Executive Officer of Sterling Bancorp. Please go ahead.
Jack Kopnisky: Good morning, everyone and thank you for joining us today to discuss Sterling Bancorp’s third quarter results. Joining me today on the call is Luis Massiani, our Chief Financial Officer. During the quarter, we continued our progression of delivering strong core operating results driven by solid revenue growth and expense control. Excluding the impact of various gains and charges associated with our integration of legacy Sterling and other strategic initiatives, core earnings for quarter were $15.7 million and core earnings per diluted share was $0.19, representing a 19% increase over the previous quarter’s earnings. Core revenue growth was 6.5% with flat expenses relative to the previous quarter. The resulting core efficiency ratio improved 366 basis points to 57.8% over the last quarter. The improvement in our core operating and profitability ratios was significant. Our net interest margin improved 8 basis points to 3.84%. Our core return on tangible equity improved 169 basis points to 12.4% and our core return on tangible assets improved 11 basis points to 95 basis points. We have made significant progress in achieving the objectives of creating a high performing organization that consistently produces return on tangible equity greater than 12%, return on tangible assets greater than 100 basis points and efficiency ratios of approximately 55% or better through the creation of positive operating leverage. We are ahead of schedule in reducing cost associated with the integration of the two companies. Since the merger in October 2013, we have reduced headcount by more than 20%, consolidated 13 financial centers and we are on track to reduce total facility square footage by almost 25%. We have also changed the mix of our workforce by hiring more client facing teams while both modernizing and outsourcing selected back-office processes. We experienced very strong loan growth for the quarter. Total loans grew by $314 million in the quarter, representing a 29.4% annualized rate. The annualized growth in commercial loans was 33.4%, approximately 57% of the commercial growth was C&I loans and 43% in real estate loans, as we continue to enjoy a diverse loan mix. Total deposits were down 2.1% for the quarter, primarily due to seasonally lower levels of CDs and municipal balances. The deposit mix and 18 basis points cost of deposits remains favorable. Fees represent 17.4% of revenue as the growth of interest income outpaced the growth of core fee income. We are focused on improving the ratio to over 20% of revenue. Credit quality continues to improve. Annualized charge-offs were 15 basis points and the level of non-performing loans declined by $3.5 million. We made significant progress in this quarter. Our strong results continue to reflect our ability to deliver results consistent with our strategy. Now let me turn the call over to Luis to detail our financial performance.
Luis Massiani: Thanks, Jack. Let’s turn to Slide 4, reported GAAP diluted earnings per share for the quarter were $0.18 and core earnings per share were $0.19. We will review the details of reconciliation between the two numbers on the next slide. Total assets increased to 7.3 billion at June 30 with the majority of the increase consisting of growth in our loan portfolio of over 200 million compared to the linked quarter. You can see the impact of our strategy of rebalancing earning assets from securities to higher yielding loans. Total securities decreased by 30 million to 1.7 billion at June 30. On the bottom of the page, we detailed our key performance metrics which showed strong progress across the board. Net interest margin was 3.84% which included 2.9 million of the accretion of the fair value marking the legacy Sterling and Gotham acquired loan portfolios. Excluding the impact of the accretion, net interest margin held steady at 365 basis points. Our asset quality performance was strong with charge-offs against the allowance of 1.6 million versus charge-offs of 3.6 million in the prior quarter. Charge-offs represented just 15 basis points of average loans on an annualized basis. However, our provision for loan losses was 6 million, mainly driven by the need to provide for the strong loan growth we had during the quarter. Our core profitability ratios continue to improve. Core return on average tangible assets was 0.95% and core return on average tangible equity was 12.4%. We are making steady progress towards achieving our long-term performance goals. Turning to Slide 5, let’s look at core earnings per share in more detail. We continue to make progress on three key strategic initiatives we outlined for fiscal 2014. These are the integration of legacy Sterling, the consolidation of our financial centers and other real estate locations and the conversion of our banking systems. During the quarter, we recorded pre-tax gains of 2.8 million which consisted of a gain on the sales of financial center location, a gain on the redemption of our trust preferred securities and a gain on sales of investment securities. These gains were offset by pre-tax charges of 3.8 million, which included a charge for asset write-downs on real estate locations, expenses associated with our banking systems conversion and the amortization of the non-competing intangible assets acquired in the legacy Sterling transaction. Going forward, we do not anticipate we will incur additional charges, on facilities exits and may record some gains on various dispositions of real estate. As we had announced in the prior quarter, the charge incurred on our systems conversion mainly consisted of the payment of an early termination fee to our current service provider. We continue to be on track for our systems conversion which is anticipated to occur in November of this year. Next on Slide 6, let’s look at our loans and deposits. Loans reached 4.6 billion which represented an increase of 314 million over the prior quarter. This is growth of 29% annualized. Our mix of business continues to be diverse across C&I, CRE and consumer asset classes. Yield on loans was essentially unchanged at approximately 5%. Our total deposits were 5.1 billion which represented a decrease of 109 million relative to the prior quarter. The decrease was largely result of a decrease in our municipal deposits which are seasonal and typically experience a low in the third fiscal quarter and then peak in the fourth fiscal quarter. We continue to enjoy the benefits of a low cost core deposit base. At June 30, 88% of our deposits were core and our total cost of deposits was 18 basis points. Going forward, key to our strategy will be to continue growing our commercial deposits. During the quarter, commercial demand deposit accounts increased by 48 million relative to the prior quarter which represented annualized growth of 9%. We expect to drive meaningful growth in our commercial deposit balances as the number of relationship teams continues to grow and our existing teams become more seasoned. Turning to Slide 7, we provide greater detail on our loan portfolio which experienced significant growth across the board. The table includes data for end of period balances for each of our loan categories. Average balances tell a similar story. Our average loan balances for the quarter were 4.3 billion, which represent an annualized growth of 29% over the prior quarter. Our pipeline of commercial loans is robust and will allow us to continue to generate loan relationships with strong credit characteristics and attractive risk adjusted returns. Our main focus continues to be originating commercial loans and you can see we had meaningful growth in C&I and CRE assets. The vast majority of our C&I assets are either floating rate or mature on a short-term basis. We believe these differentiated businesses position us well for a rising rate environment and provide us with significant balance sheet flexibility. On Slide 8, let’s look at a more holistic view of our earning assets. At June 30, our securities portfolio was 1.7 billion which represented a 30 million decrease relative to the prior quarter and approximately 24% of total assets. Longer term, we anticipate we will drive the percentage of securities to earning assets closer to 20%. We will accomplish this mainly through continued growth in our loan portfolio and a reduction in specific segments of our securities portfolio. Total yield on earning assets was 4.3% in the quarter. The chart on the right side of the page shows the maturity and repricing profile of our loans and securities. We are asset sensitive and anticipate we will continue to be asset sensitive given the focus on growing our C&I and specialty lending businesses. On Slide 9, let’s look at our fee income. The figures on the slide exclude the impact of securities gains which were 1.1 million in the quarter. Total fee income was 12.3 million which was essentially unchanged relative to the linked quarter. Gain on sale income in mortgage banking decreased by 400,000 during the quarter. However, similar to the growth we experienced in our warehouse lending business we have been a meaningful uptick in mortgage originations in June and July which should lead to stronger results in the fourth fiscal quarter. Similarly, our factoring and payroll finance businesses are seasonal, in the fourth fiscal quarter typically represents peak levels for the year. We are confident that over time we will accelerate fee income growth and achieve our target percentage of 20% or more fee income to total revenue. On Slide 10, you can see the steady progress we have made on driving organic growth through our commercial teams and the integration of legacy Sterling. These events have had a positive impact on our revenues and expenses. This is the first quarter post merger in which we can compare linked quarter results on an apples-to-apples basis. Total revenue growth was 6.5% while expenses remained essentially flat. Our core operating efficiency ratio was 57.8%. This ratio excludes the impact of the gains and charges we detailed on Slide 5. Let’s review asset quality on Slide 11. You will recall that in the linked quarter we had higher charge-off levels due to the strict ADC relationships. This quarter’s performance showed good progress and a return to strong metrics across all credit quality indicators. Provision for loan losses for the quarter was 6 million as strong loan growth resulted in a higher reserve requirement. The allowance to total loans and the allowance to non-performing loans were 80 basis points and 64% respectively. Please remember that these ratios do not include the impact of the fair value mark recorded in the legacy Sterling acquisition. Non-performing loans declined by 3.5 million in the period while criticized and classified assets decreased by 1.8 million relative to the linked quarter. We are working to reduce these balances materially by December 2014. Wrapping up on Slide 12, our capital and liquidity remain strong. At June 30, our tangible equity or tangible assets ratio was 7.6% and we remained well capitalized under all regulatory capital ratios at the bank and on a consolidated basis. As we have previously announced, we redeemed our trust preferred securities on June 1st. I will turn it over to Jack for final comments.
Jack Kopnisky: Thanks, Luis. Let me summarize the quarter for everybody. Core earnings were $15.7 million or $0.19 per diluted share, representing a 19% increase in earnings over the linked quarter. On a linked quarter basis, return on tangible equity improved 169 basis points to 12.4%. Return on tangible assets improved to 11 basis points to 95 basis points. And our efficiency ratio improved 366 basis points to 57.8%. We are driving performance through the creation of positive operating leverage. Core revenue grew by 6.5% and expenses were flat on the linked quarter basis. Revenues driven by significant increase in commercial loan volume. Total commercial loans increased $314 million or 33% on an annualized basis. Net interest margin improved 8 basis points to 3.84%. Expenses will continue to be managed down as we complete our cost reduction strategies. We have made significant progress in reducing the overall cost basis in the company. And we continue to have strong levels of capital and credit metrics. Finally, two actions we have taken over the past couple of years that put us on a strong path for high performance results. First, our strategy of team-based delivery primarily focused on small and middle market businesses in metropolitan New York City works. The full relationship approach enables strong alignment to our clients’ needs while yielding the higher returns to our shareholders. Second, the acquisition of Sterling Bancorp in October 2013 has enabled us to accelerate a broader solutions set to our clients, create a more diverse balance sheet and provide higher margins and stronger revenue opportunities in a more efficient cost environment. The integration has gone well and we are continuing to see both enhanced revenue opportunities and increased cost synergies. We are far from completion but our colleagues have done a terrific job in executing the strategy and we are on track to achieve our targeted levels of performance. Now let’s open up the line for questions.
Operator: (Operator Instructions). Your first question comes from the line of Casey Haire with Jefferies.
Casey Haire - Jefferies: So, I guess starting-off on the loan pipeline outlook, obviously a very good quarter here. It looks like it was also kind of back-loaded, if I look at the point-to-point versus the average. Just wondering if you can confirm that? And then just provide some update as to how the pipeline is holding up after a strong quarter?
Jack Kopnisky: So the answer is yes, it was back loaded, so we created a kind of volume, kind of closings in June, kind of mid-month to the end of the month. And then secondly, the pipelines frankly have never been larger. We have very strong pipelines in virtually every business. What that really does is allows us to be very selective frankly in terms of obviously creating high quality credits or booking high quality credits but also deciding on which pricing and return scenarios we want to allocate capital to. So for example, we have decided to not do a significant level of multifamily loans which as you know in the New York City market have been generally priced down. We are seeing more traditional C&I opportunities, frankly more traditional non-owner occupied commercial real estate opportunities and some good opportunities in the specialty finance areas at higher margins.
Casey Haire - Jefferies: Okay, great. And I would assume that that sort of selectivity is allowing you to pick your spots on price which is, I mean the core loan yield ex the purchase accounting held up pretty well, is that a function or product, is that these opportunities that you’re seeing in the commercial front?
Jack Kopnisky: Yes, it is. So, I mean one of the great things about this company what we put together is different economic cycles in a different competitive environment because of the diversity of the businesses we have, you can kind of pick and choose which areas to allocate capital to and to take yield off of. It’s not a perfect scenario and there is always a rolling forward forecast in this but it allows us to be more selective in the areas where we can get higher yields and frankly full relationships out of the interaction.
Casey Haire - Jefferies: Okay, last one from me just on the expense side. You guys mentioned you guys are ahead of schedule, I was just wondering where you guys are on the cost takeout versus that $34 million target?
Luis Massiani: Yeah, so we are going to exceed the $34 million target. So, we are very comfortable that we will exceed it. What we have done is we’ve taken the operating cost, the base of the operating cost, we started with a 190 million as a base cost. We are down into the 164 or 165 kind of core base level and we are going to continue over time reducing that cost structure. So, the majority of our cost to-date have been people says as we consolidate, still we are just starting to realize the facility cost changes as we go, as you would imagine it takes a lot of cycle through those types of changes. So, we are ahead of where we expected to be and we will exceed the $34 million in cost saves.
Casey Haire - Jefferies: Okay, thank you.
Operator: Your next question comes from the line of Matthew Kelley with Sterne Agee.
Matthew Kelley - Sterne Agee : May be just staying on that line just primarily on expenses, where would you anticipate the fiscal fourth quarter operating expense lining on to be?
Luis Massiani: Yeah, so we should be in kind of that $40 million to $42 million and we would expect to be at the lower level of that range. And we provided guidance since the beginning of the year, from a calendar year perspective, we were anticipating to be in 2014 at about 165 million to 168 million. We are going to get to the lower end of that range which is, gets you to the 40. So, if you take the midpoint of what Jack just mentioned it’s 41 million annualized that gets you roughly to that number. So, we feel pretty good about coming in slightly below what we had announced at the beginning of the year that 165 is low point of the range.
Matthew Kelley - Sterne Agee : Okay, and then on the margin. The 365 core margin ex-accretion benefits, where do you see that going over the next year in a stable rate environment?
Luis Massiani: Unchanged as well Matt, we think as I have mentioned before when you just took the ex-accretive rule, so if you take mean of what legacy Sterling and legacy Provident brought to the table, it was about 265 basis points. We anticipated that steady state once you start seeing the impact of that accretable yield disappeared a little bit as we go into fiscal 2015, that core NIM is going to be right in that same range 360 to 365 as we have mentioned in the past. We feel good about that and the ability to originate the differentiated businesses that Jack is talking about specifically on the C&I side, this would allows you to have a little bit more pricing advantage to be able to generate and maintain that NIM in this low rate environment.
Matthew Kelley - Sterne Agee : Okay and then tax rate still 32 to 33 is that the range you are going to in?
Luis Massiani: So, for fiscal 2014 it’s going to come in slightly below, so you will see in our press release we have mentioned for ‘14, it’s going to be about 28.5% to 29%. Long-term, as we move into fiscal ‘15 and the reason for the decrease in this fiscal year, Matt, is just due to chewing up of our income tax returns and various noise and things that move around a little bit with various merger related items. Long-term 32.5% to 33% as we have mentioned in the past, continues to be the boggy in the number.
Matthew Kelley - Sterne Agee : Okay and then it sounds like the pipeline is still really strong on a loan growth front. Should we expect to see a similar reduction, 2% reduction in securities portfolio to help fund some of that?
Luis Massiani: You will, so we were at 24% securities to total assets for as of June 30. We want to take that ratio down to closer to 20%. If you factor in more normalized down, so I am not going to tell you that we are going to grow loans by 32% every quarter, so that’s not the case in the commercial loan. So, we feel very good about the double-digit loan growth that we have provided at the beginning of the year as the right target. If you normalize that growth rate and loans through the rest of the year, you are going to get to see about another $150 million to $200 million reduction in securities that we will fund, some of that loan growth to be experienced in the next couple of quarters.
Matthew Kelley - Sterne Agee : Got it. Alright, thank you.
Operator: Your next question comes from the line of David Darst of Guggenheim Securities.
David Darst - Guggenheim Securities : Luis, could you help me characterize kind of what we should expect from the seasonal peak and factoring just from a volume perspective? And then also what’s the fee income flow that we might see?
Luis Massiani: So, you are going to see, so remember that those businesses, David, are very much flow driven versus average outstanding driven. So, what you are going to see is, there is going to be or we anticipate an increase of about 20% to 25% or so in volume relative to the prior quarter, that doesn’t necessarily mean that you see a 20% to 25% increase in the outstandings that are there, specifically when you look at two period end balances. But you will see a similar increase and we anticipate to see a similar increase in the fee component. So, when you look at our income statement we have that line item that’s accounts receivable management, you should see a nice pump in the fourth fiscal quarter as again those businesses reach peak volumes.
David Darst - Guggenheim Securities : Okay. And then in your prepared comments as I guess you mentioned references to deposit growth. Are you expecting that the teams that you have brought on the spring to begin driving more deposit growth or are there some C&I categories that you expect them to begin to work?
Jack Kopnisky: So, you’re going to see two things, David, in this quarter. So at September 30, you’re going to see a very large increase in our municipal deposit balances and conversely you’re going to see a very large decrease in our FHLB funding and other short-term borrowings. That is not what we are talking about in perspective of long-term core strategy. The long-term core strategy will continue to be rebalancing and growing, accelerating the growth of those commercial deposit balances which is driven by exactly what you mentioned which is we have more teams on-board and those teams become more seasoned. So, as they continue to build their books of business, they continue to build their pipeline, you will start seeing meaningful core commercial deposit growth in and outside of whatever we do on the municipal side.
David Darst - Guggenheim Securities : Okay, got it. And then could you just maybe give us little bit of guidance on kind of the relative level that you’re providing for growth and are any of the categories that you’re growing in require to have your reserve level?
Luis Massiani: From loan perspective?
David Darst - Guggenheim Securities : Correct.
Luis Massiani: Yes. So over the course of the next 12 months and into 2015 and ‘16, what we anticipate is getting the allowance to total loans closer to about 1.1%. So, you will see that if you exclude the, so taking into account the impact of the mark that we still have on both the Gotham and the Sterling acquired portfolios, we’re about 1.05% or so. So, we’re going to grow from 1.05% closer to 1.1% over time. However, you’re not going to see a reserve because the reason for having that $6 million reserve requirement was just the outsized growth of $314 million in loans for the quarters. So, you’ll see we do not anticipate having $6 million of reserve requirement on a steady state. As you start thinking about a double-digit loan growth that’s closer to 10% to 12%, you would have a meaningful decrease in the level of provisioning expense. Of course assuming that credit quality and charge-offs remain in line with what we have seen this quarter and what we anticipate seeing in the fourth fiscal quarter.
David Darst - Guggenheim Securities : Okay, great. Thanks a lot.
Jack Kopnisky: David, just I want to clarify something Luis said it the right way but I just want to emphasize something. So, we’re not expecting the accounts receivable, fee income to go up by 20% or 25% in the final two quarters. We do expect an increase in payroll, finance and factoring receivable turns on the fee income side based on the seasonality but not in the 20% to 25% range. And we’re really more looking in kind of 5% to 10% range, kind of quarter-over-quarter type of range. We also believe that we view the pipeline of mortgage opportunities to have a good lift from this quarter to next quarter too, again more in that kind of 5% to 10% range.
David Darst - Guggenheim Securities : And is that mortgage warehouse or residential mortgage?
Jack Kopnisky: It’s residential mortgage, so on the fee income side and residential mortgage side.
Operator: (Operator Instructions). We do have a follow-up question from the line of Casey Haire with Jefferies.
Casey Haire - Jefferies: So, just wanted to touch on the longer term fees to revenue target of 20% to 25%, obviously the NII story is a good one with NIM outlook, the core NIM outlook stable and the loan growth, the balance sheet growth doing very well which I would assume put pressure even with some help near-term, seasonal help near-term on the accounts receivable line. I am just wondering what is the timeline in which we could start to see this fees to revenue start to creep up towards that 20% target in earnest given we have got a very nice spread income forecast there?
Luis Massiani: Yes, that number is really our expectation kind of into 2015. So, the three big components of that are the mortgage business and the stability. I love it when we reach our low and people point toward mortgages but we’re trying to take the volatility a little bit out of the mortgage business in the way of focusing on purchase volumes, so that’s one major component of that. The second major component is cash management fees, so as our teams develop more deposit relationships and more sophisticated relationships with C&I borrowers generally, we should see an increase with that in that category. And the third and frankly the biggest variable in opportunity is in accounts receivable fee income. So our expectation what happens with those businesses as people build for the holiday seasons, the third and fourth quarters as I said, get bigger that’s really the opportunity of driving more factoring and fee income and payroll finance fee income. And then as you very smartly suggested the challenge is, the numbers maybe going up but it’s part of a bigger kind of denominator if you would because of the net interest income. So, our expectation is that those numbers start to tick up in the third and fourth quarter or fiscal quarters or calendar quarters of this year and then they may fall a little bit in the first quarter next year but it is more of a second quarter of 2015 that we would expect them to start to realize that type of range.
Casey Haire - Jefferies: Got you, okay. And just apologies if I missed this, the purchase accounting impact, how much purchase accounting is left here as of June 30th?
Luis Massiani: So, for the next couple of quarters, Casey, we are going to see a similar, so we had 2.9 million of the fair value, accretion that flow through net interest margin this quarter. You are going to have for the fourth fiscal quarter and then the first fiscal quarter of 2015 that number will be slightly lower but still going to be around $2 million to $2.5 million or so. And then fiscal 2015, sorry in calendar 2015 when we get into the March quarter and then through you will see that dissipate pretty, it will come down at that point. So, the important thing for us is to generate that diverse loan mix that’s going to allow us to withstand whenever that comes down and being able to maintain that core NIM steady at that 360 to 365. So, we have another couple of quarters to go.
Operator: Your next question comes from the line of Daniel Marchon with Raymond James.
Daniel Marchon - Raymond James :
Luis Massiani: Yes, so the 370 to 380 was for the calendar year. It’s for the full fiscal year 2014, so we feel good about that range still. And then as we move into 2015, we might pop-up against the lower end of that range, so that the accretion of the fair value mark starts to dissipate but the 370 to 380 for the next couple of quarters is our boggy.
Daniel Marchon - Raymond James : Perfect, thanks. My others questions were actually answered. So, thank you.
Operator: At this time, there are no further questions. I will turn it back over to Mr. Jack Kopnisky. Please go ahead.
Jack Kopnisky : Yes, thanks so much for your time. We have a lot of wonderful things going on in the company and our folks are working their tails off. We’ve really done a good job of executing against the things that we said we are going to do. Appreciate all the great questions too. These are terrific questions, very thoughtful questions. So, thanks for following company and supporting it. Appreciate it.
Operator: Thank you. Ladies and gentlemen, that does conclude the call for today. You may now disconnect.